Operator: Good morning, my name is Sinedra. I would like to welcome everyone to the JetBlue Airways Second Quarter 2021 Earnings Conference Call. As a reminder, today's call is being recorded. At this time all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Director of Investor Relations, Joe Caiado. Please go ahead.
Joe Caiado: Thanks, Sinedra, good morning everyone and thanks for joining us for our second quarter 2021 earnings call. This morning, we issued our earnings release and a presentation that we will reference during this call. All of those documents are available on our website at investor.jetblue.com and have been filed with the SEC. In New York to discuss our results are Robin Hayes, our Chief Executive Officer; Joanna Geraghty, our President and Chief Operating Officer; and Ursula Hurley, our Acting Chief Financial Officer. Also joining us for Q&A are Scott Laurence, Head of Revenue and Planning; Dave Clark, VP of Sales and Revenue Management; and Andres Barry, President of JetBlue Travel Products. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now, I'd like to turn the call over to Robin Hayes, JetBlue's CEO.
Robin Hayes: Thanks, Joe, and welcome to your first earnings call with JetBlue. It's great to have you on the team and I'm also very excited to have Ursula joining me here as well. So Ursula welcome to your first earnings call. You've been in the room for years, but welcome to the seat. So, good morning everyone. I'd like to start by thanking our inspiring 20,000 crew members for their determination through the most challenging period in our history and now in taking on the difficult task of restoring operations back to normal levels. The recovery in air travel has come more quickly than we expected. In addition, our recovery has been accelerated by our Northeast Alliance with American Airlines, helping us expand and capture more corporate customers in both New York and Boston. Vaccines have clearly consumer confidence and we are pleased to see our customers traveling with us in greater numbers. Thanks to the outstanding efforts of our crew members in taking care of our customers and each other, JetBlue is well positioned for success, and I couldn't be more excited about the future. Turning to Slide 4 of the earnings deck. In the second quarter, we saw strong signs that consumer confidence and travel demand is returning with second quarter revenue doubling compared to the first quarter driven by pent-up demand. JetBlue reported an adjusted loss per share of $0.65 as we capitalize on the strength of our brand at distinctive positioning in the accelerating leisure market and the draw of our focus cities. To give you more context the recovery in leisure and VFR travel has been more robust than we had anticipated. The quick operational ramp up and unusually severe weather in the Northeast has come with challenges, but we are pleased with a continued improvement in demand trends through the summer. We operated a peak 929 flights per day in early July, a far cry from the roughly 140 average daily departures in the second quarter a year ago. We also expect capacity to be largely restored to 2019 levels in the third quarter as a result of the increased demand and growth opportunities from our Northeast Alliance, an important milestone in our recovery. As we march towards a full recovery, we will be laser focused on executing our plan to put us back on the path towards superior margins. We are confident that our competitive advantages, our service, outstanding onboard product and cost structure and the disciplined approach of the three years preceding the pandemic will drive our long-term recovery and sustainable success. Margin is firmly back as our North Star. And as we start to realize benefits from – and we are starting to realize benefits from our new commercial and revenue initiatives and we'll be sharing more on that shortly. Moving to Slide 5, as we turn to recovery, we continue to generate positive cash from operations in the second quarter and we expect continued improvement in our operating performance as we progress towards the full recovery. We are creating a path to restore our earnings power to beyond 2019 levels and generate long-term value for our owners in the years ahead enabled by an accelerated recovery and the earnings of margin tailwinds from our Northeast Alliance. Our attention now is on squarely rebuilding our margins and repairing our balance sheet. To rebuild our margins we are executing various revenue initiatives across the network and business while continuing to focus on cost control and sound capital allocation. Regarding our network, we have added new destinations, a more service to our focus cities to help our customers travel again, including eight new routes set to launch in the coming months. In August, we expect to launch our first Transatlantic flight to London, and we remain committed to our long-term strategy to bring our unique combination of low fares and great service to these routes. We are disappointed with the continued restrictions on travel between the U.S. and the UK and urge regulators to safely reopen borders for travel. We are planning schedule adjustments for this fall to match the current demand environment and once a path to the border reopening is clear, we expect demand to bounce back quickly just as it has in the rest of our network. In New York and Boston, we are already seeing the initial benefit of our Northeast Alliance with American Airlines. We believe this partnership will be a key driver in accelerating JetBlue's recovery and an important contributor to our long-term growth, including revenue and margin generation. The Northeast Alliance supports our expansion in both New York and Boston, and we're excited to see almost 20 new flights and multiple new markets in LaGuardia launching this fall with many more to come in 2022. The alliance benefits consumers by bringing healthy competition a much needed choices for travelers in the Northeast. As both JetBlue and American expand flying, we remain focused on developing a seamless travel experience for our customers, and we are making the many necessary investments. Given the new growth opportunities provided by our Northeast Alliance, we reexamined our fleet to ensure we are well equipped to capitalize fully on both current and near-term conditions. We have a plan to delay our retirement schedule for our owned E190s, which offers an efficient way to profitably grow in the Northeast while protecting our balance sheet. We will, of course, remain flexible with our fleet to continue to align with the demand environment. Our commercial efforts continue to drive incremental revenue and position JetBlue for margin expansion. In the Northeast Alliance, I'd like to highlight three specific initiatives. In addition to the Northeast airlines, I should say, I'd like to highlight three specific initiatives. We are pleased with the early results of our fare options update, which is providing a significant revenue tailwind. Our JetBlue Travel Products subsidiary generated our highest ever single quarter commissions revenue across all products, including JetBlue Vacations. Finally, we are thrilled to announce the extension of our co-brand agreement with Barclays and MasterCard, which will greatly enhance the value of our program. We expect all of these initiatives to significantly drive margin expansion as we look ahead. With margin as our North Star, we will make these investments in the Northeast Alliance – we will make investments in the Northeast Alliance, but while adding cost pressures, unlock new growth opportunities. These growth opportunities are emerging faster than we expected, and we are pulling forward some CASM pressure in 2022, as we delayed 190 retirements and ramp up capacity and high cost airports, including LaGuardia in Europe. We remain laser focused on our cost structure and believe we have a good trajectory over the longer-term to support our efforts to expand earnings and margins. In the near-term, we are working through various cost headwinds as we recover notably with maintenance, rents, landing fees, and ramp up pressures. We believe some of these pressures will prove temporary and are a natural path of a recovery. Our teams are working hard to mitigate these headwinds and ensure we execute on our fixed cost saving. We expect to share more color on this important work as we add to our list of cost initiatives, following the annual planning process. Lastly, we took another step forward in repairing our balance sheet by paying down our term-loan part of our balanced approach to capital allocation. We expect to continue paying down the high cost debt while investing in margin and earnings accretive backlog. Moving now to Slide 6, how optimism in JetBlue's future grows day by day. As we look cover from the greatest crisis in our history, we will continue executing our plan to emerge as a stronger airline equipped for long-term sustainable profitable growth. The sustainability of our future growth is in fact stitched in to our strategy as we work to mitigate risks, reduce our carbon footprint and create value for our owners. Importantly, part of our executive incentive plan is tied to ESG. We continue on our path to achieve net zero carbon emissions by 2040 and we're pleased to report that we recently signed an agreement to purchase sustainable aviation fuel or SAF at LAX and took our first delivery earlier this month. This followed JetBlue's move last year to fuel flights from San Francisco with SAF. SAF is one of the most promising ways to reduce air travel emissions. All stakeholders, airlines, manufacturers, fuel supplies, governments, and investors will need to play a part and a role to help grow and scale SAF and usher in a new lower carbon future to aviation. So in conclusion for me, I'd close by again thanking our incredible crew members for everything they've done through this pandemic and particularly over the last couple of months as our airline has come roaring back. Summer has always had its share of challenges, but your energy and commitment are bringing customers back and setting JetBlue on a solid path of recovery. We're as excited as ever as we chart a course towards generating superior margin. With that I'll hand off to Joanna.
Joanna Geraghty: Thank you, Robin. I'll start by adding my thanks to our amazing crew members, who are rising to the challenge of rapidly restoring our operations to meet pent-up demand while managing an unusual amount of severe weather days. It has truly been a team effort. We've brought all crew members back from leave. We are hiring new crew members, many are picking up extra hours to support the large number of customers flying and our support center crew members have been turning out in strong numbers to help support our operational ramp up. We also appreciate our customers, who are flying in record numbers again, and are excited to connect them to their destinations. This swift rebound in travel demand has come with operational challenges across the industry, which we believe will ease as we move through the summer. We are pleased to be in a position today where we are growing once again and welcoming more JetBlue crew members to our family. Turning to Slide 8. We're very excited about a number of revenue initiatives currently underway to drive profitable growth. As Robin mentioned, we're encouraged by the early results of our Northeast Alliance with American Airlines. This is driving compelling benefits for our customers through increased options and low fares. It is resulting in incremental capacity and revenue growth. Thus far Codeshare revenue is exceeding our expectations and we are particularly excited by the positive initial response from many of our corporate customers. Through this alliance, we can provide our business and leisure customers a more compelling network and schedule offerings such as our plans to operate up to 12 daily round trips in the fall between LaGuardia and Boston. Last quarter, we continue to roll out Codeshare markets and launched the ability to earn points or miles on either JetBlue or American for both TrueBlue and Advantage members. Starting this fall, elite members of both programs will be able to enjoy benefits on both carriers. So far the NEA has announced a total of 58 new markets, 32 flown by JetBlue with many more to come. The success of the NEA will come not just from a greatly expanded network with more JetBlue flying, but also the ability for customers to seamlessly fly in either JetBlue or American operated flights. We're also very pleased with the contributions from our recent update to our fare options platform, which is trending above the expected one point of revenue benefit and currently contributing closer to two points of revenue for the third quarter and beyond. We have seen a double-digit increase in customer demand to buy up from our Blue Basic offering. We believe we offer the best product at a low price in every category that we serve. Our JetBlue Travel Products subsidiary remains a bright spot with record revenues across all key products, doubling in relative size to the airline versus pre-pandemic levels. JetBlue Vacations sales were up over 60% year over two. Travel insurance attach rates continued growing as we better tailor products to evolving customer needs and we recently issued an RFP, which generated a positive initial response. We are also seeing continued growth from car rentals and increasingly hotels by better targeting our offers via our recently launched Paisly platform. Our continued investment in product development, merchandising and marketing of broader travel products provides us a path to reach $100 million in run rate EBIT next year. Moving to Slide 9. We're very bullish in loyalty and we are supercharging our performance in this space by building on our award-winning TrueBlue program and high-growth co-brand portfolio. We have laid the groundwork to evolve the benefits and value proposition of TrueBlue at additional value and versatility to our currency of points and further enhance our co-brand portfolio. As part of our plans foundation, we are very pleased to announce the renewal of our partnerships with Barclays and MasterCard for our co-brand credit card program. They have both been tremendous partners over the past several years, and we are very excited to continue growing the portfolio and enhancing value for all stakeholders. We expect our new agreement will deliver approximately an incremental 1 point to our annualized revenue and margin and many exciting enhancements are in-store. In the immediate term, we are seeing material growth in the co-brand portfolio, including record breaking acquisition on the JetBlue Plus Card. This is an important funnel to grow our loyal customer base. Spend from existing card members is also up significantly. Both of these will contribute to our growing revenue performance. Moving to Slide 10. In the second quarter, our revenue declined 29% year-over-two, a 32% sequential improvement from the prior quarter and better than our latest planning assumption. Throughout the quarter, demand trends exceeded our initial revenue expectations. Our recent co-brand agreement, which was not included in our planning assumption, added approximately 1.5 points of revenue in the second quarter. We are pleased to see further month-on-month improvement into the peak summer months with demand momentum across all of our geographies. Our leisure fares continued to improve and returned to 2019 levels this month, supported by the strong recovery in demand and load factors. We ended the quarter with load factors in the mid-80s with June capacity largely back to pre-pandemic levels compared to an average load factor in the mid-60s in the first quarter on 41% lift capacity year-over-two. By the end of the second quarter, we were generating average daily cash sales in excess of $20 million, which marks a considerable expansion from the $15 million per day at the end of March. For the third quarter of 2021, our planning assumption for revenue is a decline between 4% and 9% year-over-two; another quarter of strong sequential improvement of approximately 20 points. We expect unit revenue to continue to improve on top of increasing capacity with load factors into the mid-80s this summer and yields approaching 2019 levels despite our heavier leisure mix. We've seen days with average paid load factors in the 90s. We've been pleased to see a stronger than expected leisure recovery through summer and, looking further ahead, we are optimistic for business travel to show a more robust recovery post Labor Day. Our customers are guiding us to expect an acceleration in business demand recovery this fall as people return to the office and travel policies become less restrictive. That said we will remain flexible, given the potential for future demand volatility due to variants and the course of the pandemic. Turning to capacity on Slide 11. In the second quarter, our flown capacity declined 15% year-over-two. For the third quarter of 2021, our planning assumption is for capacity to be down between flat-to-down 3% year-over-two, given the strong sequential improvement in demand. Throughout the pandemic, we have been nimble in adjusting our capacity deployment to the prevailing demand environment. While we are not seeing an impact on bookings from variants, we’ll maintain this approach, given the uncertainty. Our VFR and leisure revenue is performing nicely and leading the travel rebound. We are also very pleased with the performance from our investments at LAX and New York. The pandemic opened up unique opportunities to meaningfully expand our presence at these historically capacity-constrained airports. In addition, we are continuously optimizing our network, focused on reallocating capacity to our highest margin opportunities. As our Northeast Alliance with American Airlines continue to accelerate our recovery, we are collaborating closely to reinforce benefits to our customers by growing and harmonizing our schedules, flying to new destinations to serve more customers, adding frequencies and all at low-fares. We are very excited for our partnership to provide a path for JetBlue to grow and provide more options to customers out of New York and Boston. I will close with my deepest thanks to all of our crewmembers for their hard work and resilience and ramping the operation to serve our customers and handling the operational challenges with professionalism. Our crewmembers form the core and the foundation of JetBlue's success. As we look ahead, I could not be more excited about the future of JetBlue as we execute our initiatives to grow revenue and margins and expand our loyal customer base. With that, over to you, Ursula.
Ursula Hurley: Thank you, Joanna. I'd like to add my thanks to our crewmembers for their hard work to restore JetBlue and set us up for future success. The robust margin-accretive revenue initiatives you've heard about from Robin and Joanna, combined with our ongoing cost discipline and margin focus, gives me enormous confidence in our future. I'll start on Slide 13 with a brief overview of our financial results for the quarter. Revenue was $1.5 billion, down 29% year-over-two. Operating expenses were down 27% year-over-two. Excluding the benefit from Payroll Support Programs 2 and 3, operating expenses were down 7% year-over-two. Adjusted EBITDA loss was $86 million and GAAP earnings per share was $0.20 and adjusted loss per share was $0.65. Starting with our operational performance; our second quarter adjusted EBITDA came in better than the range we anticipated in early June. This was mainly the result of improving underlying revenue trends, the contribution from our co-brand agreement and our focus on mitigating cost pressures as we ramp up. For the third quarter, we estimate our EBITDA will range between $75 million and $175 million, reflecting continued sequential improvement in demand, partially offset by continued cost pressures from fuel prices and airports rents and landing fees. We expect to remain in positive EBITDA territory through the end of the year and expect to generate pre-tax profits in both July and August. Turning to Slide 14. We are pleased to see the progression in the revenue recovery and are deploying capacity to near pre-pandemic levels to meet demand. We'll maintain a laser focus on cost control as an important contributor in putting JetBlue back on a path towards superior margins. We'll continue to maintain a nimble approach in managing our business as we are mindful of the potential choppiness tied to variants and possible travel restrictions. During the second quarter, our adjusted operating expenses declined 7% year-over-two, in line with our prior assumptions. This excludes a payroll benefit of $366 million from PSP2 and 3. Our CASM ex-fuel declined meaningfully from a 41% increase year-over-two in the first quarter to a 19% increase in the second quarter. For the third quarter, our planning assumption is for a CASM ex-fuel increase between 11% to 13%, resulting in a sequential improvement over the second quarter. This 11% to 13% increase includes approximately 6 points of temporary headwinds as follows: approximately 3 to 4 points from rents and landing fees; and roughly 2 points from ramp-up labor costs. Given the faster than expected ramp-up and to help manage operational challenges worsened by weather events, we are offering financial incentives to ensure we are appropriately staffed for the summer peak travel period. We expect to gain efficiencies over the coming months as our newly hired crewmembers are trained to support the operation. Lastly, entering the third quarter and into next year, we expect to incur higher maintenance costs as we begin to cycle through a year’s worth of maintenance that we deferred from the pandemic to protect liquidity. This is worth approximately 4 points of CASM ex-fuel-pressure in the third quarter. Moving to Slide 15. Looking ahead to 2022, we are laser-focused on aggressively managing our costs and expanding our margins as we continue to grow capacity and earnings. We expect CASM ex-fuel to improve from a double-digit growth rate in the third quarter of 2021 to low single-digit growth in 2022 compared to 2019. This cost trajectory is due to the timing shift on maintenance events tied to COVID, rents and landing fees, inflationary pressures and margin-accretive investments in our Northeast Alliance. We expect elevated maintenance expenses through the medium term to support our aging fleet and as we work through a significant volume of events, which we deferred through the pandemic. While the timing is fluid, we currently expect rents and landing fees to continue to be a headwind into 2022. But this should normalize over time as industry-wide traffic returns and rates stabilize in our key airports. As Robin and Joanna mentioned, we are also investing in our transformative Northeast Alliance, which is already outpacing expectations and will create long-term value for our shareholders. We expect this will drive CASM pressure as we emerge from the crisis. This will allow us to capitalize on the meaningful growth opportunities from the NEA in a capital-light and flexible way, resulting in margin expansion and earnings growth. The investments include delaying our E190 retirement schedule, earnings-accretive growth at higher-cost airports and creating a seamless customer experience. Mitigating these headwinds is critical as our operation continues to recover and we're doubling down on our efforts to maintain a competitive cost structure. In addition to the progress we are making in reducing fixed costs, we are targeting productivity gains as operations normalize to optimize our cost base as we work towards our goal of generating superior margins. We are also actively identifying further areas of cost opportunities and expect to share more details on our next set of structural cost initiatives following the 2022 planning cycle. We are committed to generating better than pre-pandemic earnings in the next few years by growing revenue and controlling costs. And we are extremely confident that we are on the right path to expand margins in a sustainable way. Moving to Slide 16; in the second quarter, we took delivery of two A220s, two A321neos and two A321LRs. The fleet stood at 276 aircraft at the end of June and we expect to take delivery of five additional aircrafts during the third quarter. Our 2021 CapEx forecast remains at approximately $1 billion, the majority of which is aircraft CapEx, which we expect to fund using cash. Turning to the balance sheet and liquidity on Slide 17. At the end of June, our unrestricted cash and short-term investments were $3.7 billion or 46% of 2019 revenue. We remain comfortable with our strong liquidity position and we believe we have the ability to raise additional liquidity at attractive and competitive rates, if necessary. We're now squarely focused on repairing our balance sheet, lowering our total cost of debt and growing our unencumbered asset base. At the end of June, our debt-to-cap ratio was 55%; a slight decrease from the prior quarter. During the second quarter, we made further progress towards delevering by paying down a $722 million term loan. We also received over $1.1 billion from a combination of proceeds, including the second and third rounds of PSP. As a result of these actions, we reduced our net debt by over 50% to under $1 billion at the end of June, bringing our net debt below pre-pandemic levels. Turning to Slide 18; in 2021, we have repaid a total of $1.3 billion of debt between our revolving credit and term loan facilities. As a result of these payments, we have reduced our interest expense by approximately $30 million in 2021. In addition to our net debt, these actions have lowered our weighted average cost of debt to pre-pandemic levels and increased the amount of unencumbered high-value collateral. As we manage through the recovery, we plan to continue paying down high-cost debt. We’ll maintain our balanced approach to capital allocation as we return to investment-grade metrics over the coming years. I'll close with a huge thank you to our crewmembers for all of their efforts to ensure JetBlue emerges from the crisis as a stronger airline. We’re extremely pleased to see our customers returning in great numbers and JetBlue is well-positioned with a strong balance sheet and a path towards generating earnings growth and creating value for our owners. With that, we will now take your questions.
Joe Caiado: Thank you. Sinedra, we're ready for the analyst Q&A portion. Could you please go over the instructions?
Operator: Thank you. [Operator Instructions] And your first question comes from Savi Syth with Raymond James.
Savi Syth: Hi, good morning everyone. Just kind of curious on your capacity outlook for 2022 and too that underscores the ex-fuel cost guide that you gave. And kind of what your revised plans are along those lines for the E190 fleet?
Ursula Hurley: Good morning, Savi. Thank you for the question. This is Ursula. In regards to 2022 capacity, what we're trying to do this morning is provide you a level of transparency around the cost and how you should think about them over the next quarter as well as into 2022. We at this time are not specifically guiding to 2022 capacity as we're still working through our planning process. Given the volatility and uncertainty in the environment around COVID and the ramp-up of business travel, there are a wide range of capacity outcomes, but you should be assured that we'll set our 2022 capacity level around generating margins and we'll adjust as we navigate through the recovery. In regards to the E190, at this point in time, we have delayed the retirement of the 30 owned aircraft, and we will evaluate over time the optimal time from a cost perspective, as well as capitalizing on the NEA opportunity to determine the most optimal time to retire those aircraft.
Savi Syth: So, Ursula, if I could on that – is there – do the other E190s then go away and is there kind of a lower and upper bound of what flexibility you have on the capacity front?
Ursula Hurley: So as a reminder, we have 60 E190s in the fleet, so 30 of them are leased. So those we intend to return at the appropriate time, so those aircrafts will return between 2023 and 2026, the 30 owned aircraft, as I mentioned, we will determine the optimal time to retire those. However, I want to remind you we're keeping them in the fleet to capture the Northeast Alliance opportunity that is in front of us. So we are making investments in that fleet type to ensure that we can grow margins and capitalize on the Northeast Alliance opportunity.
Savi Syth: And if I might clarify on the Northeast Alliance opportunity, the investments you're making, does that get built into the base or do those investments pressures then go away as you kind of leave 2022?
Ursula Hurley: Sure. So there are two to four points of CASM ex-fuel investment to capitalize on the Northeast opportunity. We – those are put in three categories. So first and foremost, we're investing to ensure that there is a seamless customer experience from an IT perspective, as well as an airport experience perspective. The second area we're investing in is delaying the E190 aircraft, so ensuring that the customer experience on that aircraft and the maintenance is associated and embedded into the guidance in keeping that fleet type. And then the third area of investment is accelerating our growth in high cost, high value airports, such as LaGuardia and Newark here in the Northeast.
Savi Syth: Got it. All right, I appreciate the color.
Operator: And your next question comes from Dan McKenzie [Seaport Global].
Dan McKenzie: Yes. Hi. Good morning. Thanks for the time here. And just kind of following up on that last question, the accelerated growth and high cost, high value airports, specifically Newark, LaGuardia, are there other airports that you're looking to grow as a function of the relationship with American Airlines?
Ursula Hurley: Hi, Scott. Do you want to take that?
Scott Laurence: Yes. Hi, Dan. It's Scott Laurence. Thanks for the question. If you look at the NEA covers four airports, so JFK, LaGuardia, Newark, and Boston, we anticipate significant growth at those four airports because of the NEA and the opportunity that's there. We've got something that's transformational in terms of the opportunity and the ability to ramp the benefit from that quickly. So, if you think about where we're going or where we've been and where we're going in 2019 JFK sort of sat at about 175 peak flights. We expect steady state to be over 200, Newark going from about 35 to 70 flights, LaGuardia going from 16 to – 50 to 60 and Boston going from 175 to over 230. So a lot of growth there, we believe it's hugely beneficial for us. There are a number of things here in terms of channel shift and also customer benefit as we see JetBlue growing, adding competition, really challenging the dominant carriers in the Northeast and really a win-win here.
Dan McKenzie: Then the next sort of logical question to that at some point here is, you know, are you exploring an entry into one world? And what are the pros and cons at this point as you think about developing that relationship with American?
Scott Laurence: So, Dan, it's a natural question to ask us. And I think that as we've looked at global alliances, our story has not changed there that we see a pretty large investment for a carrier like JetBlue and things like training and we think that we've got a better mouse trap. Our open architecture partnerships strategy has worked really well for us and that allows us to do so in a really responsible way in terms of costs. So, over the long-term, we'd never rule out opportunities, but right now it seems to make sense to pursue a strategy that's working for us.
Dan McKenzie: Thanks for the time you guys.
Robin Hayes: Thanks, Dan.
Operator: And your next question comes from Duane Pfennigwerth [Evercore Partners].
Duane Pfennigwerth: Hi, thanks. I'm just curious when would you envision guiding to pre-tax margins or net income margins as some of your peers have started to do?
Ursula Hurley: Good morning, Duane. Thank you for the question. So as we provide the guidance this morning, we are going to be EBITDA positive in the third quarter as well as the fourth quarter. I also noted in my remarks that we will be pre-tax positive in both July and August. As you think about September, September has historically been a trough month for JetBlue. And what I would also highlight is that we're being cautious around the return of business traffic. However, what I would know is that we're extremely pleased with how the Northeast Alliance has been accelerating in terms of ramp-up. So we do believe that that will provide us some momentum year over two as we look at the September timeframe.
Robin Hayes: And Duane, if I can just build on that, because I think it's a great question. If I think through the various stages of the pandemic, we started very much talking in terms of daily cash burn. We then sort of moved to EBITDA because we felt that was sort of a measure of, sort of, operating performance, our ability to drive revenue and manage costs. And as everyone remembers, JetBlue was probably the most impacted airline in the early days from a revenue perspective given our geography in the Northeast. And so we were extremely aggressive at deferring many costs, including some of the maintenance costs that Ursula referred to. And I think we're very close here to being able to transition into pre-tax margin, reflecting ultimately that's what we're aiming for and everything we're putting in place here is to drive a significant margin expansion into next year and beyond.
Duane Pfennigwerth: Okay. And then just for a follow-up with respect to these deferred retirements, can you just remind us kind of where you stand on 2022 and 2023 CapEx? And is there any element of this that's about delays, delivery delays or have you shifted CapEx out? Or is the message the capital plan is the same where we're just going to fly more on this higher CASM sub-fleet that we expected to retire?
Ursula Hurley: Thanks for the follow-up question, Duane. So in regards to the capital plan for 2021, we've guided $1 billion worth of CapEx, which is mainly associated with the aircraft growth. In terms of 2022, we intend to take 12 aircraft next year, and that will drive approximately the same CapEx profile to 2021. In regards to 2023, we have a step up in the quantity of A220 deliveries. So you will have a slightly elevated CapEx profile in 2023 compared to 2021 and 2022. In regards to the investments in fleet, has it changed? The simple answer is no. The decision we've made is to simply delay the E190 retirement, which is a capital light and balance sheet friendly decision in order to support the ramp-up of the NEA.
Duane Pfennigwerth: Okay, thank you.
Operator: And your next question comes from Catherine O'Brien with Goldman Sachs.
Catherine O'Brien: Hi, good morning, everyone. Thanks for the time. My first question is really maybe a follow-up to Duane's first question. So, you're expecting to be pre-tax profitable for July and August, sounds like not so for September. And based on your answer to Duane, it sounds like that's really just more of you on leisure revenue dropping off and maybe a little bit of a slower rebound in corporate or just a continued slower, I don't mean like relative to your prior expectations, just that that's wrapping up slower than leisure generally. So it sounds a little bit more revenue based, I guess, like first is that right? And then second moving forward getting to that pre-tax profitability is it really just about corporate ramping up from here? Are there any other cost items we should be keeping an eye on the second half that might impact that? Thanks.
Robin Hayes: Yes, thanks, Catherine. I'll take that. It's Robin. I think that the comment on September is right. I mean, if you look at sort of historically for JetBlue that's always been our most challenging month. And so that combined with sort of some uncertainty around the pace of corporate travel. We are reading a lot about some companies moving office openings back from September to October. So, we're just sort of want to be cautious about that. When we think about what we're focused on, we're very – we're focused on margin. And again, EBITDA is really something that we entered into the year with and I think we said at the time – at some point this will transition back to margin. When I look at all the revenue initiatives, we talked today about how fare options is closer to two points. We talked about the TrueBlue program. We've talked about how quickly JetBlue Travel Products is driving margin. And you've seen the cost that is the additional CASM that is driven by the NEA, and we believe the NEA to be very accretive. And so when you look up all of those revenue initiatives together, we're very confident about their ability to drive margin as we head into next year. I think our caution is just around that we've been here before. We still are concerned that a spike in varying cases or other concerns could impact future demand. And we said, for over a year now, this could remain a very non-linear path. So we certainly don’t want to get ahead of ourselves in setting expectations, but we have been extremely aggressive about lining up a set of revenue initiatives and are focused on costs to drive margin expansion very rapidly into 2022.
Catherine O'Brien: Okay, understood and then maybe just a quick follow-up. In the slides, your debt payments for the rest of the year shown – not showing any more prepayments I think that's just a little bit of a placeholder for now. But based on your current cash flow outlook, might there be some additional issuances you would look to prepay and then just more generally, how are you thinking about pacing incremental debt prepayments? Are there any gating factors for you to do more on this front? Thanks for all the time.
Ursula Hurley: I appreciate the question. So we're very focused on repairing the balance sheet. The goal is to get back to pre-COVID investment grade metrics. We have extremely pleased with the progress that we've made to date in regards to delevering. We are ensuring that we don't get ahead of ourselves given potential variants and international travel restrictions. So I do want to maintain a healthy cash balance as we go forward. We have identified future debt prepayment opportunities and you should be assured that going forward this is a priority to get back to the 30% to 40% debt to cap target that we had coming into COVID.
Operator: And your next question comes from Bert Subin with Stifel.
Bert Subin: Hi, good morning, and thanks for the time. What's the best way to think about the renewed credit card agreement longer-term? Is the baseline of that deal adds something around $60 million to revenue this year? And then you guys just build on that in the future through acquisitions and increase spend?
Joanna Geraghty: Hi, great. Thanks for the question. This is Joanna. So first, just really proud of the work that team has done specifically around the co-brand agreement. Obviously, this was initially tied to the potential for securing the government loan, and I think they did an excellent job pivoting around a longer-term renewal with a number of very interested parties. Barclays, MasterCard have been just tremendous partners during this. So as we mentioned during opening remarks, this will add 1 point of revenue, based purely on the economics of the program and that's based off of 2019 numbers. There is a few sources of value tied to both co-brand but also longer term TrueBlue. Obviously, seeing strong improvements in unit economics of the overall co-brand deal and additional incremental value if you think about the growth of the program. We've designed the partnership to really incentivize everybody involved to double down in terms of card acquisition, tapping into parts of the economy that maybe haven't been able to necessarily secure credit card, very much supporting some of our DE&I initiatives. If you look at the JetBlue Plus Card, we think there is tremendous opportunity there. We've seen record-breaking numbers of subscriptions and acquisition rates to the JetBlue Plus Card, which obviously has stronger, spend as well. And so if you think about co-brand specifically, we are very much at the front end of, I think what we believe is, very strong growth trajectory. Then if you pivot into TrueBlue, the underlying loyalty program, there is a number of areas of opportunities there. We are in the midst of redesigning that program to be far more customer-centric. It's already an award winning program. Customers love it, but we think we can drive greater attachment and greater stickiness through a design that really speaks to customers' wants and needs, also continuing to double down on earn and burn redemption opportunities with OA partners and then obviously the NEA is going to give even additional incremental sort of value to our underlying TrueBlue program. So it kind of cuts across a number of different areas. We often talk about how JetBlue's co-brand and TrueBlue program is relatively immature. In this case, I think what that means for us is tremendous ramp and tremendous growth over the coming years and very much closing what has been a gap for us for quite some time.
Bert Subin: Thanks for that, Joanna. Just one follow-up for Ursula on the cost side. So inflationary pressures, you certainly talked about them and clearly they're more acute in your core airports. As we go forward, maybe just on a longer-term basis, what do you see as the relative advantages to your peers? Is it really just going to be, you get stage growth from adding Europe and other parts to your network and then gauge growth from refreshing the fleet? Are there other items that you would put in those buckets? Thank you.
Ursula Hurley: Yes. Thanks for the question. So we're extremely focused on ensuring that we continue to take out the $150 million to $200 million of fixed costs. We need to ensure that these are maintained into 2022. I think the other area of opportunity is doubling down on productivity; so as the operation and the network settles back into a new norm, ensuring that we're gaining efficiencies across the work groups to ensure that we're offsetting some of the labor and external inflation that we're seeing today. Also, what I would note is, in regards to our first structural cost program, 50% of the savings within that program are deemed variable. And so what's happening at the moment is that those savings are being masked by COVID. And so, again, as we reset the network and the operation comes back to a new norm, we expect to see efficiencies as we scale back up. So between the fixed costs, $150 million to $200 million, the structural cost program's 50% savings, which are variable, and then doubling down on productivity, I feel very confident in our path in delivering a low single-digit CASM ex-fuel number in 2022.
Bert Subin: Thank you.
Operator: And your next question comes from Ravi Shanker with Morgan Stanley.
Ravi Shanker: Thanks, morning, everyone. I'm sorry if I missed this in the prepared comments, but did you quantify how much the NEA contributed to revenue and EBIT in 2Q and kind of how we see that pacing over the next, like, 12 months and even longer maybe?
Scott Laurence: Hey, it's Scott. So I think we're very pleased with how the NEA is rolling out so far. And while we're not quantifying that, I would say that we're in the very initial stages. We've got about 40% of, sort of, code deployed on non-stops and very little code deployed on the connecting markets. And as we move forward in some of the announcements that are out there on frequent traveler reciprocity, those kind of things, we look forward to ramping up quickly. The other piece here is that, as we see business traffic return and you've seen some of the adds that we've announced and whether that's Boston-LaGuardia or Boston-DCA coming back to higher frequency schedules as well, there is the whole point of sort of looking at some channel shift. And I think that's one of the things about the NEA that we're pretty excited about because we create an environment where corporate customers see more JetBlue service, they see our fare structures, which means that their realized fares and the average fares will actually come down in a number of these markets as you see JetBlue competing. At the same time, we've been traditionally sitting around 20% leisure customers. And as we look at that rate, every point of that that we increase is worth about $25 million, so just in revenue. So, again, I think, across the board, we look at this and know that it's a win-win for us and as we roll that out, as we see the customer response, we're happy so far.
Joanna Geraghty: If I could just maybe add as well, I mean, we're – to say we're excited is an understatement. I mean, this is providing a very formidable third competitor in our Northeast geography that customers will not only benefit from lower fares, but also greater competition in a much more robust network. And if you think about just the size of what we're accomplishing, LaGuardia pre-NEA was about 16 daily flights, it's going to grow to 50 to 60 daily flights a day; JFK was 175, that's going to grow to 220 to 240; Newark, 35 to 70 to 80; Boston, 180 to well over 200. So, I mean, this is a meaningful partnership alliance and we could not be more excited about the value that it's going to drive for JetBlue, but even as importantly for our customers who are in need of that third competitor and frankly just greater competition across the Northeast.
Ravi Shanker: Got it. Thanks for the color. And maybe as a follow-up, I know that things are pretty uncertain with the U.K. right now, but can you just help us understand, like, what are the next steps there? What do we track? Kind of, do you guys need a plan B? What are you hearing in terms of dropping travel restrictions in the U.K.? Thanks.
Robin Hayes: Thanks, Ravi. I'm the London guy, so I'll take that.
Ravi Shanker: Lucky you.
Robin Hayes: Yes, yes, I know. Look, I think you know the history, right? I mean, we've all been very frustrated that the corridor haven't opened. I mean, there's what no reason for opening, it's not data-driven because there's many other countries where there are lower vaccination rates that are open. So, we'll move on. We'll continue to sort of work that issue. We are going to fly. We do expect to successfully complete our ETOPS certification. We will continue with our first flight in August – August 11th. We will fly our schedule every day, per plan initially. There is a lot of sort of training events that go with this type of flying that we need to get through. So we will do that. And then as I sort of made in my remarks, it was a little bit tucked away and I probably butchered one or two of the words, but the plan is, we’re looking at September [indiscernible] of weak September just to sort of bring down some of the flying and then we'll keep it – we'll continue to review on a month-by-month basis. There was news today that the U.K. will open for U.S. vaccinated travelers. I don't know if that's going to happen or not. We've been here so many times with potential good news that have been dashed. But we'll continue to stay flexible and we'll sort of match the capacity to the demand.
Ravi Shanker: Very good. Thank you.
Operator: And your next question comes from Helane Becker with Cowen.
Helane Becker: Thanks very much, operator. Hi, everybody, and thank you very much for the time. Congratulations to all the new participants on the call. So two questions, one is congestion at these Northeast airports. And I'm kind of wondering about the decision to fly LaGuardia-Boston. As you think about those 12 flights a today in that market, is that really like the best thing to do with those aircraft? And can you make better use of those slots in routes that may have more business utility?
Joanna Geraghty: Hey, Helane, thanks for the question. Our focus is always about putting our aircraft in the most margin-accretive routes. At this point in time, given the partnership with American Airlines, we believe that's the strongest use of those aircraft moving forward. Obviously, congested airport, as you noted, but it's congested for a reason, that's where the people are, and that's where they want to fly, and frankly, we view it as a smart investment. Obviously, some of this is dependent on the return of our business travel. So we're watching that very closely, but we've seen nothing in our bookings to suggest that business travel won't be coming back in the fall, but again we'll remain nimble as we need to.
Helane Becker: Gotcha. That's very helpful. Thank you. And then one thing nobody talked about this time was the investment in Joby. And I guess they're getting ready to come public. So I don't know how you guys are thinking about that, what you're doing with that. Are you just going to keep that investment? Is there a point in time where you're going to monetize it? I don't know, any color you might want to give on that is…
Joanna Geraghty: Yes. Maybe I'll just give a little comment. Ursula, feel free to add. We're very excited about that partnership. I'm not going to get into the details of their current potential public offering. But I will say, it's an important part of our strategy moving forward, particularly around eVTOL – electric takeoff and landing. I can't pronounce it correctly. And we're very excited about what that brings. I think you've seen a number of additional announcements from other carriers in the recent months. We very much believe that our partnership is much further advanced than where those announcements are, and excited about what they are going to bring to the future of that type of travel.
Helane Becker: That's really great. Thanks very much, Joanna.
Operator: And your next question comes from Mike Linenberg with Deutsche Bank.
Mike Linenberg: Hey, good morning, everyone. And congrats Ursula and Joe on your new positions. Quick one here to either Dave or Scott. When you look at your yields, I guess on a year-over-two-year basis, it looks like you're probably down maybe 10%, 11%, 12%, but then your stage length is up. And I don't know what it is up on a year-over-two-year basis. So on a stage length adjusted basis, are yields roughly flattish? Is that the right math?
David Clark: Hi, Mike. Good morning, thanks for the question. We're really pleased with how both fares and yields are coming up. It really depends throughout the network. Since we've pivoted to a much more leisure-centric network over the past few quarters and for the summer, we're really pleased with where the yields are even if they are slightly below historical 2019 levels. To go one level deeper in some regions, like, especially transcon and the East, we are seeing yields to be higher and then other parts of the network, they're lower, but overall really pleased with the total result.
Mike Linenberg: Great. Thanks, Dave. And then just my second question, just, Ursula in the non-op area, there is a $39 million, I guess, some of its interest income and then there is some sort of charge there. I'm not sure if that was called out in specials or if in the release. What is that?
Ursula Hurley: Thanks, Mike, for the question. So there was a level of investment that we needed to put forth in order to pay down the $722 million term-loan.
Mike Linenberg: I see. All right, very good. Thank you.
Operator: Your next question comes from Jamie Baker with J.P. Morgan.
Jamie Baker: Hey, good morning, everybody.
Robin Hayes: Hi, Jamie.
Jamie Baker: Robin, morning, probably for you, just a couple of London-related technical questions. I know you've been operating some proving runs. I'm curious if that's mostly related to crew familiarization or if there are any aircraft performance issues you could share with us right now.
Robin Hayes: No, so we had a three round trip of proving runs that is part of the FAA certification process and you should even assume the diversion to [indiscernible] which you probably saw was also part of that whole process. They went very well and we're very confident, our ability to – with the ETOPS authorization.
Jamie Baker: Okay. And a related follow-up, the configuration, I believe its 138 seats; correct me if I'm wrong. Is that dictated by the aircraft itself, given the range or is that the profit-maximizing configuration based on JetBlue's analysis? I'm just curious why 138 is the right configuration?
Robin Hayes: What would you have done differently, Jamie? I'm just curious.
Jamie Baker: It's been too long for me to be able to answer that question.
Robin Hayes: Yes. No. Yes, look, clearly, we've spent a lot of time with that – on that. As you know, when we launched Mint on transcon, we had a front cabin of 16, we spent a lot of time thinking through the optimization. We ended up where we are with 24 at the front and then the sort of the back takes care of itself. And we sort of look at the mix of even more and core. I would also say, because it's a newer airplane, the configuration does have a high level of flexibility if we want to change it in the future compared to the sort of traditional [indiscernible] airplane.
Jamie Baker: Okay. That'll do it for me. Thank you.
Robin Hayes: Thanks, Jamie.
Jamie Baker: See you, Robin. You bet.
Joe Caiado: And that concludes our second quarter 2021 conference call. Thanks for joining us. Have a great day.
Operator: And again that will conclude today's conference. Thank you for your participation.